Operator: Good day, and welcome to the Bloomin' Brands Incorporated Fourth Quarter 2014 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Chris Meyer, Vice President of Investor Relations. Please go ahead, sir.
Chris Meyer: Thanks, Rochelle. Good morning, everyone, and thank you for joining us. With me on today's call are Liz Smith, our CEO; and Dave Deno, Executive Vice President and Chief Financial & Administrative Officer. By now, you should have access to our fiscal fourth quarter 2014 earnings release. It can also be found on our website at www.bloominbrands.com in the Investors section. Throughout this conference call, we will be presenting non-GAAP financial measures, including adjusted restaurant level operating margin, adjusted income from operations, adjusted net income and adjusted diluted earnings per share. This information is not calculated in accordance with U.S. GAAP and may be calculated differently than other companies similar non-GAAP information. Quantitative reconciliations of our non-GAAP financial measures to their most directly comparable GAAP measures appear in our earnings release on our website as previously described. Before we begin our formal remarks, I'd like to remind everyone that part of our discussion today will include forward-looking statements, including our discussion of growth strategies and financial guidance. Such forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ from our forward-looking statements. Some of these risks are mentioned in our earnings release. Others are discussed in our Form 10-K filed with the SEC on March 3, 2014, and subsequent filings, which are available at www.sec.gov. During today's call, we'll provide a recap of our financial performance for the fiscal fourth quarter 2014, an overview of company highlights, a discussion regarding progress on key strategic objectives and an update on 2015 guidance. Once we've completed these remarks, we'll open up the call for questions. With that, I would now like to turn the call over to Liz Smith.
Elizabeth A. Smith: Thanks, Chris, and welcome to everyone listening today. We're pleased to share with you our results for the fourth quarter and full year 2014 as well as our thoughts for 2015. As noted in this morning's earnings release, our adjusted fourth quarter diluted earnings per share was $0.28 and our reported fourth quarter core domestic comp sales were up 4.2%. This represents a 240 basis point sales over delivery versus the casual dining segment that strengthened over the fourth quarter. Traffic for the quarter was up 1%, which was 140 basis points better than the segment. This marks the 21st and 22nd consecutive quarters that we have meaningfully outperformed the industry in sales and traffic, respectively, as we continue to gain share in the CDR category. In addition, all 4 of our core domestic concepts posted positive comps in the quarter and we continue to see sequential improvement in our dinner traffic. Q4 was also a strong finish to a great year on the productivity front. We finished 2014 with $65 million in productivity savings, which was our best year since 2009. Overall, we were very pleased with our results this quarter and more importantly, we have strong momentum heading into 2015. A view of Q4 performance by concept is as follows: At Outback comp sales grew 6.4% in the fourth quarter. This was an impressive 460 basis points better than KNAPP. Our efforts to reinforce our steak authority are getting traction and our dinner traffic trends have improved since last quarter. In addition, our steak-centric messaging has also increased our guest check average as we are seeing higher guest preference for steak entrées and steak-focused LTOs. We also continue to balance steak innovation and exploration with platforms to broaden occasions with ideas like the $4 Finds menu. Overall, Outback continues to perform very well across all metrics. Their performance is even more impressive when you consider that 2014 marks the fifth straight year of CDR share gains, a time span that also saw our 2 national steak competitors increase their footprint by nearly 40%. At Carrabba's, we were pleased with our positive comp sales of 0.3% in Q4 given continued headwinds in the Italian category, which is down 3% for the 3 months ending November 2014, as measured by NPD CREST. As we have discussed, we are working on the next iteration of our core menu that will expand lighter options, increase variety and provide a better range of affordable price plans to drive frequency that complements special occasion with more everyday dining. This menu was slated for the back half of 2015. However, it may be later if testing determines we need more time to optimize it. That said, food innovation will still be present throughout the year with LTOs that reflect our new positioning. This will be complemented by the ongoing work underway to contemporize our restaurants and enhance the overall dining experience. With these initiatives largely in front of us, we remain confident in the vitality of this brand. Bonefish Grill's quarter 4 comp sales were 0.7%. Bonefish is returning to its polished casual roots with a reinvigorated commitment to our brand equity pillars of culinary foreign cuisine and continuous innovation. As we execute on this strategy, we will unwind some of our promotional activities that drove traffic, but were more appropriate for traditional CDR competitors. Some of this promotional unwind was reflected in our Q4 results, but we are confident that the pivot back to our polished casual roots is the right direction for the brand. We remain encouraged with the early results from our new core menu launched in Q3 2014. Our return to continuous innovation is reflected in a robust new product pipeline. In January, we launched a new bar menu called IN + ON Bar Bites that offers small plates paired with our handcrafted cocktails. Moving forward, we will have seasonal menu changes that will feature new dishes that correspond to the fishing seasons. These efforts ensure that we provide food exploration opportunities that Bonefish customers love and expect from the brand. Fleming's continues to perform at a high level. Q4 comps were 3.4%. This is the 20th consecutive quarter that Fleming's has had positive comps. Fleming's is at the forefront in providing new incremental platforms for fine dining with the latest being 8-9-10. This office is focused on capturing the late-night meal location targeting millennials where we offer 8 items or 8 drinks and cocktails for $9 until 10:00 p.m. This has been well received by our consumers and has been one of the many reasons why Fleming's has been able to distinguish itself in the competitive high-end steak category. Overall, the improvement at dinner was complemented by a continued success with our weekday lunch rollout. At the end of the fourth quarter, approximately 61% of Outback locations and 55% of Carrabba's locations were offering weekday lunch. This is up from 59% for Outback and 54% for Carrabba's in Q3. In addition, we will be launching nationwide support for Outback lunch in Q2 2015. Although lunch sales continue to grow in restaurants that have had lunch for more than 1 year, the advent of national advertising will drive awareness and accelerate sales growth. Turning to our international business. Brazil continues to perform at a very high level. Comp sales remain strong and cash flow was growing at existing locations. Even though there are concerns about a volatile economy in Brazil, our restaurants are performing in line with our high expectations. Demand for Outback is strong as the CDR market in Brazil is highly fragmented and demand for our restaurant exceeds supply. We will grow Outback as fast as we can and expect to have 100 restaurants within the next 3 years. We remain on track to open our first Carrabba's in March. As we unveiled at our Analyst and Investor Day, we will be using the name Abbraccio in the Brazilian market. Italian dining is the #2 segment in Brazil and no-clear category leader exists providing us with significant runway for growth. On the development front, we opened 18 system-wide locations in the fourth quarter consisting of 5 Bonefish Grill; 1 Carrabba's; 8 company-owned international Outback restaurants, 5 in Brazil, 2 in South Korea and 1 in Hong Kong; and 4 franchise international Outback restaurants. These openings bought our 2014 total to 57 locations in line with our expectations. Overall, we had a strong finish to the year. The casual dining business saw continued momentum in the fourth quarter driven by an improving macroeconomic backdrop. We will remain cautious on extrapolating these trends until we see a meaningful increase in our targets consumers disposable income and move past the impacts from weather events in 2014. Regardless of the industry performance, we remain committed to our annual goal of outperforming KNAPP by at least 200 basis points. Before I turn it over to Dave to provide more color on Q4, I'd like to share with you my thoughts on 2015. When we emerged as a public company in 2012, we shared with you our platforms for sustainable growth. This plan is focused on 3 key areas for success. First and foremost, we will increase comp sales with relentless focus on growing what we already own. Second, we will capture our domestic new unit expansion opportunities. And third, we will accelerate growth internationally. We are pleased with our progress on all 3 fronts. Our growth strategy is coupled with a continuous productivity mindset to fund investment while we build scale, infrastructure and systems. We will, as always evaluate our investments through our lens of disciplined capital allocation. Now I'd like to update you on our 2015 plans against these 3 platforms. First, to drive comp store sales performance, we will focus on ongoing innovation. Outback will create new menu items that continue to reinforce our Best at Steak messaging. Bonefish will launch culinary forward offerings with the new bar menu and seasonal menu changes. And finally, there will be a new core menu at Carrabba's designed to broaden occasions. We expect these initiatives to drive traffic for our brands. We will also focus on LTOs and advertising that balance our strong value proposition with our consumers desire for innovation and indulgence. As noted, we are significantly expanding our investment in digital and mobile marketing platforms that include website upgrades and online ordering and payment. We have additional tests in market to determine where technology can further enhance the customer experience and expect to launch some of these ideas throughout the year. With regards to occasion expansion, we will further expand weekday lunch at Outback and Carrabba's. In addition, we will be launching national advertising support for Outback lunch in Q2 2015 that will help drive awareness and increase sales. As it relates to remodels, 2015 will mark the third year of Carrabba's remodel program as we update both the interior and exterior of our restaurants. In addition, we will expand Outback's promising exterior remodel test and upgrade new and existing Bonefish sites. Finally, we will pursue Outback relocations since we are seeing 20% to 40% sales increases at restaurants that we have relocated. We will execute this strategy as quickly as A quality sites become available. Our 2015 sales growth strategy has many levers and extends from lunch through the evening dining experience and is centered around the customer. Our second platform is domestic new unit growth. Bonefish Grill remains our primary domestic growth vehicle and we are expanding this brand as fast as we are able to find quality real estate. We will also invest opportunistically in new Outback and Fleming's locations. We believe we can scale Fleming's to 100 locations over time. Our third platform is the acceleration of our international business. First, we will grow our company-owned or majority joint venture markets and leverage the infrastructure and end-market capability investments that we have built over the years. Our Brazilian business executes at a very high level and expansion in this country in 2015 and beyond is a key priority. We are also building the infrastructure to support the launch of our second concept Abbraccio in March. In addition to Brazil, we are focused on growth opportunities in China. We will be opening 3 new locations in 2015. China represents one of the largest market opportunities for CDR brands given the highly fragmented market and increasing levels of disposable income. Secondly, we are confident that we have stabilized our business in Korea. We have reduced the footprint and optimized the infrastructure. We will continue to revitalize the smaller fleet of stronger restaurants and leverage our economies of scale and consumer awareness to return it to growth. Lastly, we will selectively franchise in markets that we don't want to own and operate such as the Middle East and Southeast Asia. In total, we expect to open 40 to 50 new system-wide restaurants globally in 2015 with international representing at least 50% of the opening. This percentage will increase as we accelerate our international growth strategy. Productivity efforts have been a core part of our strategy for several years and will continue to fund a portion of our investments in 2015 and close the gap on margins relative to our peer group. We will take advantage of our improving balance sheet to continue to pay down debt. Finally, I'm pleased to announce that our board has authorized the payment of our first quarterly dividend. This is a key step in our balanced strategy to pay down debt and return cash to our shareholders through dividends and share repurchases. In summary, we're confident in our plan and optimistic that we will continue to meaningfully outperform the industry in sales in 2015. We have a tightly edited portfolio of differentiated brands that are well positioned to capture on incremental expansion opportunities and gain share. In 2015, we will be entering the sixth year of our sustainable growth plan. Our confidence in the vitality of our portfolio and its long-term prospects remain strong. And with that, I'll turn the call over to Dave Deno to provide more detail on our fourth quarter operating results and what you can expect for 2015. Dave?
David J. Deno: Well, thank you, Liz, and good morning, everyone. I'll kick off with a discussion around our sales and profit performance for the quarter. As a reminder, when I speak to net income and EPS, I'll be referring to adjusted numbers that excludes certain costs and benefits. Please see our earnings release for reconciliations between our adjusted non-GAAP metrics and their most directly comparable U.S. GAAP measures. We also provide a discussion of the nature of each adjustment. With that in mind, our fourth quarter financial results versus the prior year are as follows: Adjusted diluted earnings per share were $0.28 versus $0.27 in 2013. GAAP diluted earnings per share for the quarter were $0.17 versus $0.46 last year. As a reminder, our 2014 fourth quarter results had one less operating day due to our change to a 52-53 week fiscal year. This conversion lowered our Q4 adjusted EPS results by $0.05, so on a comparable basis we are up $0.06 versus a year ago. Overall, we were very pleased with our Q4 performance and it was a strong finish to 2014. This put us at $1.10 of adjusted EPS for the year, which was at the top end of our guided range of $1.05 and $1.10. These results came in despite some significant headwinds in the form of health care claim activity, additional incentive expense and FX-related unfavorability. On the other hand, we did have some tax favorability as well. I will provide additional context around these matters in a few minutes. Adjusted net income was $35.5 million versus $34.2 million for the fourth quarter a year ago. GAAP net income was $22.4 million versus $59 million in 2013. Comparable domestic restaurant sales at our core domestic concepts were up 4.2%, while traffic increased 1%. All 4 of our core domestic concepts posted positive comp sales in Q4. At Outback, comps were up an impressive 6.4% with traffic up 1.3%. At Carrabba's, comps were up 0.3% with traffic up 1%. At Bonefish, comps are up 0.7% with traffic down 0.7%. And at Fleming's, comps were up 3.4% with traffic up 1.6%. Although, we do not break out comp sales between lunch and dinner, we saw continued sales growth in lunch from restaurants that have served lunch for at least a year. In addition, we saw an improvement in our dinner trends from last quarter, which helped drive strong comp trends in Q4. Total revenues increased 5.5% to $1.1 billion. The majority of this increase was due to additional revenues from our consolidation of Brazil, new restaurant openings and higher domestic comp sales. These results were partially offset by the loss of one operating day due to the company's change to a 52-53 week fiscal year, previously announced restaurant closures and sales softness in Korea. As we indicated last quarter, we believe we have significantly reduced our operating risk in Korea. And despite being negative, Korea sales trends did show improvement as Q4 progressed. Adjusted restaurant level operating margins were 15.7% this year versus 15.9% a year ago. It is important to note that we had an incremental $5 million of health insurance expense in the fourth quarter that costs us 50 basis points of restaurant margin. This is primarily related to higher than normal amount of claims in the quarter. Although health care claims ebb and flow from quarter-to-quarter, this was an unusually high quarter for us. Aside from this expense, our Q4 margins benefited from our productivity initiatives and the impact of higher average unit volumes. These were offset by lunch expansion rollouts and commodity inflation. Our GAAP restaurant level operating margins were 16.3% this year versus 14.8% a year ago. The primary difference between our adjusted restaurant margins and our GAAP restaurant margins was driven by the lapping of a payroll tax audit expense from 2013 and a favorable legal settlement in 2014. Now on to the details. First, cost of sales decreased to 32.2% from 32.7% in 2013. This change was primarily driven by productivity initiatives and menu price increases. This was partially offset by increases in seafood, dairy and beef inflation, costs associated with the rollout of lunch and changes in product sales mix. On an adjusted basis, labor and other related expenses increased to 28.1% this year from 27.6% a year ago. This increase was due to higher cost associated with the weekday lunch rollouts, health care claims that I just discussed and field compensation expenses. These were offset by productivity savings from the new labor model and higher average unit volumes. On a GAAP basis, labor and other related expenses decreased to 28.1% from 28.8% in 2013. If you recall in 2013, we had a $12 million expense related to the IRS payroll tax audit and benefit from lapping this expense in 2014. Finally, adjusted restaurant operating expenses increased to 24% versus 23.7% a year ago. This increase was primarily driven by higher operating cost associated with weekday lunch rollouts and higher general liability insurance expenses. This was partially offset by higher domestic unit volumes and productivity initiatives. On a GAAP basis, restaurant operating expenses decreased to 23.4% from 23.7% in 2013. This decrease was driven by $6 million favorable legal settlement. This benefit was the reason our adjusted restaurant operating expenses differed from our GAAP results. Turning to G&A, after removing $4.8 million of adjustments, which were primarily related to severance, general and administrative costs were $75.6 million in Q4 versus $67.3 million a year ago. The increase was primarily driven by the inclusion of Brazil G&A in our consolidated results. Also in Q4, we had foreign exchange related unfavorability of $1.9 million, most of it relating to our business in Brazil. As Liz mentioned earlier, Q4 was a strong finish to a great year on productivity. We finished the year with $65 million in productivity savings, which was our best year since 2009. We are making progress on removing cost from our supply chain, and are seeing the benefits from the front-of-the-house and back-of-the-house labor tools. And finally, our fiscal 2014 tax rate was 24.8% on an adjusted basis. This was lower than our guided range of 27% to 29%. The lower tax rate was driven by unplanned tax benefits, such as the extension of the work opportunity tax credit. This occurred at the end of December and was not built into our guidance. We also benefited from changes in the mix of income across our domestic and international portfolio as each country has a different statutory tax rate. Our GAAP effective income tax rate was -- for 2014 was 20%. Now that we have finished talking about the quarter, let me spend a minute on what has changed since we were together at Analyst Day in mid-December. As you will recall, we indicated that we were at the midpoint or above our adjusted EPS range of $1.05 to $1.10. This was approximately $1.08. Since then, a few things have happened and let me walk you through them. First, we had the unexpected tax upside for the fourth quarter, which was worth about $0.04 adjusted EPS. As I indicated earlier, however, there were some offsets to this upside in our Q4 results. First, our excellent results this quarter triggered the payout of additional incentive compensation. This was worth about $0.02. Secondly, health care claim costs came in even higher than we expected and that was worth about $0.01. Finally, the impact of our conversion to a 52-53 week fiscal year costs us $0.01 more than we had originally projected. So in total, the upside and the downside of the changes since we last met, basically offset each other. Also, this dynamic of lower taxes and higher operating expense helps to explain why our adjusted EBITDA came in lower than our guidance. And now a quick update on our capital structure. We have discussed our intent to improve our debt metrics and strengthen our balance sheet. I'm pleased to announce that we paid down $75 million of debt in the fourth quarter, bringing our net debt to adjusted EBITDAR down to about 4x. We are committed to getting this metric closer to 3x. In December, we discussed the upgrade we received from S&P in our debt and we are pleased that the rating agencies recognize our improving credit profile. In addition in this morning's earnings release, you will note that our Board of Directors has declared our first quarterly cash dividend of $0.06 a share. We view this as a key step in our efforts to balance our debt paydown with returning cash to shareholders. We've also announced $100 million share repurchase program that is effective through the middle of 2016. All in all, Q4 was a very strong finish to the year in many ways. And I'd now like to take you through our thoughts in 2015. Before I begin with guidance, it is important to discuss 2 important items related to our financial reporting in 2015. First, in 2014, we changed our financial reporting from a calendar year basis to a 52-53 week fiscal year. Due to this change, fiscal 2015 includes 364 days versus 362 days in 2014 resulting in 2 additional days in Q1. The addition of these 2 high-volume days is expected to have the following impact on our 2015 results. Total revenues will increase by approximately $25 million and diluted earnings per share will be higher by approximately $0.04. Secondly, as we accelerate growth in our international business, we want to provide more visibility into the performance and long-term growth opportunity that it represents. Beginning in Q1 2015, we are revising our segment reporting to reflect 2 reporting segments, a U.S. segment and an international segment. Going forward, we will also provide comp sales and AUVs for Korea and Brazil. Now on to specific 2015 guidance. Total company revenue is expected to be at least $4.49 billion. This will be driven by international expansion, growth in comp sales as well as planned new restaurant development. Please note that the revenue total reflects the impact of the previously disclosed International Restaurant Closure Initiative, as well as the sale of the Roy's concept. The estimated impact of these 2 items will reduce revenue by roughly $140 million in 2015. Adjusted diluted EPS for the year will be at least $1.27. This is an increase of at least 15% from 2014. GAAP diluted EPS will be at least $1.14. The primary difference between the adjusted and GAAP metric is the anticipated $9 million to $12 million of remaining restaurant closing costs from our International Closure Initiative. We expect blended core domestic comparable sales of at least 1.5%. This increase is based on ongoing menu and promotional innovation, continued lunch expansion and additional restaurant remodels. We are not relying on a meaningful improvement in the segment trends to lift our 2015 results. As Liz mentioned earlier, our goal is to outperform the KNAPP-TRACK by at least 200 basis points on an annual basis. Turning to commodities, we expect inflation will come in between 4% and 6%. This includes beef inflation of at least 10%. We expect to see improvement in other proteins such as seafood, which will help offset these pressures. We are currently contracted for approximately 73% of our total buy for 2015, which is consistent with where we typically stand at this time of the year. The only exception to this is beef where we are 99% contracted. Our productivity goal in 2014 is once again at least $50 million, with approximately 50% coming from cost of sales as we deploy our actual versus theoretical food costs solution. Also, at our Analyst and Investor Day, we discussed having to reload between $10 million and $15 million of additional incentive compensation expense based on our expected results at the time. As a result of our strong Q4, we're able to fund additional incentive compensation and are now expecting to be slightly below the low end of our range of $10 million to $15 million. In addition, we still expect about $9 million of foreign currency headwind in 2015 from the weakening of the Brazilian real. As it relates to taxes, we anticipate an effective income tax rate in the range of 25% to 27%. This rate should increase slightly from 2014 given the onetime nature of some of the items from the fourth quarter. We estimate that 2015 full year capital expenditures will be between $235 million and $255 million. System-wide new restaurant development in 2015 is expected to be in the range of 40 to 50 units, with at least 50% of the units coming internationally. Bonefish Grill will continue to be our lead development vehicle in the U.S. and Brazil, and Brazil will represent the majority of our international development. Lastly, as Liz mentioned, we will continue to be good stewards of capital. We are committed to improving our capital structure to provide us with flexibility going forward. This enabled us to both delever the balance sheet while also returning cash to shareholders in the form of dividends and share repurchases. In summary, we are very pleased with the way we finished 2014 with strong sales performance and continued progress in productivity. We have a robust plan to continue to grow our business and have many unique levers to further drive profitability and earnings growth of our shareholders in 2015. And with that, we will now open the call for questions.
Operator: [Operator Instructions] Our first question, we'll hear from John Glass with Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: Just first Dave on the margins, what is the right base year or base number percentage margin adjusted for '14 that we should think about '15, I think, you provided in the fourth quarter? And what are the dynamics in '15 that are at work, specifically as you roll out lunch nationally or add the national advertising, is there incremental pressure from that as sales accelerate? Maybe you can give -- quantify what you think the incremental pressure from lunch might be in '15?
David J. Deno: John, I don't -- we don't see any big incremental pressure from lunch in 2015. The biggest piece of our productivity opportunities in 2015 is the actual versus theoretical rollout that we're doing right now, it's been rolled out to the marketplace. The second thing is we have seen some improvement in labor during the year. We'll continue to see that as we go forward. But those are the 2 big pieces that we'll see. Now the one thing I do want to mention when we look at 2014, John, is we had about a 70 basis point hit from Korea. We'll claw some of that back in 2015. So from a normalized basis as you look at our operating margins, you have to look into this -- look at the 70 basis point hit that we got this year from Korea. So wrapping it up, productivity is going to come from actual versus theoretical rollouts, labor margins and we will have the national launch at Outback, but I think we've got that appropriately planned in our guidance.
John S. Glass - Morgan Stanley, Research Division: So with this -- so on an adjusted basis, restaurant margins are up in '15? And can you quantify -- I think, you didn't talk specifically about that, where do you think those come out? Or roughly, what's the gain in restaurant margin in '15?
David J. Deno: Yes. We won't provide a gain specifically, John, for restaurant margins in 2015. We do expect to see, certainly see an increase. And over the next 3 years, our goal is to approach our competitors in productivity gains. And one of the things I want to mention too is, when I use the word the approach, we do put more food in the plays than some of our competitors and we have freshness -- some more freshness in our supply chain. But over the next 3 years, even though we don't provide specific guidance to 2015, we will continue to make progress in operating margins.
John S. Glass - Morgan Stanley, Research Division: Okay. And just one last one, Liz. Your gap to the industry is still positive, but it did shrink a little bit particularly in traffic relative to what you have been running, what do you make of that? Is that just because everyone gets better, it's harder to maintain that kind of larger gap? Or is there some other dynamic at work?
Elizabeth A. Smith: Yes. So our gap, as you pointed out, John, in Q4 was, on total comp, was a 240 basis points and then on traffic, it was 140 basis points. If you look within quarters though and over the past, you have quarterly variability and so that's why when we always say our gap to KNAPP, we quote it on an annual basis. So when we look by brand, I would say for Outback, we were very pleased with the comp, but more of that came, which we anticipated and planned for, in the form of price mix appreciation because we did that intentional pivot back to steak-centric to really capture and reinforce our steak, so you saw a higher mix average coming in there. You still saw traffic growth, but we knew that we would, with that pivot, pick it up more back in. So really, the concepts performed consistent with our brand strategies and we were pleased with the traffic growth. Obviously, pleased with the total comp growth. But again, things are going to vary brand-to-brand and quarter-to-quarter, but we do see that outperformance continuing on an annual basis. If you look at our past quarterly, we've kind of been over or under on traffic. It really ebbs and flows.
David J. Deno: One thing I'd also like to add, John, and Liz mentioned this in the script, and that is we are making a concerted effort to move Bonefish to more of its polished casual roots. And so therefore, there are some traffic that we will give up in doing that. We saw some of that in Q4 and also saw a little bit of that in Fleming's as we pulled back at some of the discounts. So that's -- you asked some -- specifically one of the things that happened in traffic during Q4, those are the 2 strategies that we pursued.
Operator: And next we'll move on to Joseph Buckley with Bank of America.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Dave, can I ask you to talk about the revenue guidance for 2015 at least $4,490,000,000. You just reported $4,442,000,000 for '14 and I think you referenced some of it, you mentioned $140 million maybe from the absence of Roy's and some store closures. What do you think in that -- for Outback you said $9 million, I'm assuming that's an operating income number? Could you verify that? And then maybe talk about the FX impact on the top line that is in that guidance which is for a pretty modest increase.
David J. Deno: Yes. Well, first of all, Joe, the revenue guidance that we have reflects our comps and our new unit development that we built up during the thing. So it -- during the 2015. So that's the first thing. Secondly, $140 million of revenue reduction comes from Roy's and the Korea closures. Lastly, we have $9 million of translation, translation changes. And that's a revenue number and basically, a profit number. So between the $9 million of translation in Brazil and then the other pieces I talked about are where we stand.
Joseph T. Buckley - BofA Merrill Lynch, Research Division: Okay. And then maybe just a question, just kind of a broad question because you gave us a lot of detail, but with that kind of same-store sales increase at Outback, I would have expected to see better restaurant margins. So can you talk a little bit about that? I mean, that was a great comp number, but the margins were a little bit disappointing.
David J. Deno: Sure. I got it. And I think we were very pleased Joe with the margin standpoint. A couple of key things I want to talk about. First of all, we talked about the tax change, which was worth $0.04 a share, but that did not hit pretax margins. When you take a look at, Joe, incentive compensation worth $0.02, higher than health care claims which was another $0.01, and then the impact of our calendar conversion, those were all pretax margin items in the quarter. If you look, Joe, at the reduction in food costs and the fact that labor cost was basically flat year-on-year, when you take a look at -- removed the health care cost, we made 2-- some very nice increases in margins during the quarter. Lastly there are a couple of things from our sales standpoint that did impact -- that did limit the upside in our margins and our profitability. First, the mix of sales domestically across our concepts at an important point of the year was different than we had forecasted, maybe not quite as margin accretive. And secondly, sales in Brazil were very strong, traffic was higher, but our PPA was a bit lower than we had expected and a bit lower than trend. This PPA did impact our profitability, did impact margins a bit. But I want to go back to our margin performance during the year. Take a look at the labor line, take a look at food cost line and we made very nice progress during the year in restaurant margins.
Operator: And next we'll move to Jeff Farmer with Wells Fargo.
Jeffrey D. Farmer - Wells Fargo Securities, LLC, Research Division: Liz, just going back to an earlier question, you were pretty clear with your comments that we need to look at it on an annual basis. But having said that, with the casual dining same-store sales index up more than 5% or so through the first 6 weeks of '15, how should we think about your confidence in outpacing the index by 200 basis points in an environment like that where we're looking at mid-single-digit same-store sales growth from your peers? Can we assume that you're putting up something close to that? Or potentially even outpacing that?
Elizabeth A. Smith: Well, Jeff, as you know, we have a long-standing history of not getting into monthly comps or commenting on the quarter in progress. What I can tell you is that we are really pleased with how our brands are performing and how they all exited the fourth quarter, all with positive comps. And we do continue -- because we have 4 core brands and there's 4 quarters, you are going to see quarterly variability, and you've seen that every single year. However, we believe our brands have the health, the buzz, the consumer programming on an annual basis to have that at least 200 basis point comp sales bp versus KNAPP. Now you're going to have months and quarters that ebb and flow, but I would just tell you overall, that we feel very confident in that as well.
Jeffrey D. Farmer - Wells Fargo Securities, LLC, Research Division: Okay. And just a quick follow-up on that. In reference to at least 1.5% same-store sales guidance, I'm very aware of the fact that we're just, whatever it is, 49 days into the year, but anything we should make of that at all?
Elizabeth A. Smith: Yes. I mean, Jeff, as you know, we keep in mind that even though we saw some positive, and we're delighted strengthening in KNAPP in the second half of last year, the reality is, is that last year marked the ninth consecutive year of traffic declines for the casual dining industry. And so as we've said at Investor and Analyst Day, we are cautiously optimistic about green shoots that we actually feel like are finally appearing, okay, whether it's improved job prospects, whether it's disposable income, some of that coming due whether it's 30% lower gas prices, all of that. But we think we absolutely need to get past what I'll call the weather benefited Q4 of 2014 comparison, before we can call a trend change. And so we've been consistently saying is we like what we're seeing, but at the same time, we've had false positives in the past, let's get through the second quarter and look at whether KNAPP is able to sustain this 2-quarter recent momentum. Even though the fourth quarter was good for KNAPP, it's still had negative traffic, right? So I think it will serve us well as we always do to take a prudent approach to the industry and not assume a rising tide is going to lift all boats, but that we have the programs and the brands to continue to meaningfully outperform the industry. And if tailwinds should persist and this should prove, then we will all benefit.
Operator: And next we'll move on to Jeffrey Bernstein with Barclays.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Two questions. One, just a follow-up on the last one. At least, as of now, if the comp guidance is for 1.5% for full year '15, just wondering if you can offer some color in terms of the components? I think you had talked about pricing being above that and therefore, is it safe to assume that your guidance of 1.5% as of now assumes negative traffic? Or how should we think about the components? I think you mentioned the commodity inflation is still 4 to 6, but pricing of north of 1.5% or...
David J. Deno: Yes. Jeff, one key piece there is the -- on pricing. Don't forget the mix. So we'll have positive traffic of 1.5% overall, at least 1.5% overall comps, and then we will have some mix there as well. So we don't get into that kind of detail in our guidance, but we will have positive traffic in 2015.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Got it. And then just -- can you talk about the lunch versus dinner? And I think you've told us, in the past couple of quarters, you flex your muscle around the dinner. I'm just wondering if you can just offer a little bit more color, I think you said it improved versus 3Q? Can you talk about lunch? The concern, I guess, is when you flex the marketing push around dinner, maybe it has an impact on lunch. Just wondering any metrics you can give around the lunch day part? And obviously, it sounds like you're excited that, starting the second quarter, you should get some big support from national advertising. But your confidence in sustaining both with your existing marketing budget or any sign of shift when you shift the marketing spend between the 2?
Elizabeth A. Smith: Yes. So great question. Let's talk about, we are really pleased -- I'm going to talk about the first part of your question, about dinner. We're very pleased with the improvements that we've seen in our dinner trend behind our reinvigorated brand strategy efforts. As a reminder, they are to reinforce Best at Steak at Outback. On Carrabba's, it is to get more variety and affordable price point. On Bonefish, it's the return to polished casual roots. And then Fleming's, it's continuing to be the contemporary steakhouse. And so we're very pleased with how they've taken traction, and our dinner trends have responded. We're also seeing nice performance in our lunch stores that have been open and are still growing on a year-over-year basis. But we are very excited about getting to that 70% level in Q2 and turning on national advertising. Our restaurant lunch is growing and performing well, despite having no national awareness or presence. So we think that's going to be very, very well received and will accelerate sales at the lunch time. We've been at this lunch game for a long time and I will tell you that, every metric, and we look at it constantly, in terms of cannibalization, and we have had markets with and without support, so we're always testing, lunch continues to come in within our expected range of about 15% cannibalization. So they are very different occasions, and the thought process and decision point is not typically a trade-off between the 2. So we are confident that when we turn on the advertising, that, that relationship, which you have seen now for 4 and 5 years, will remain. Now let me talk about the incremental investment nature. We are not looking to incrementally take up, we feel very good about our share of voice in Outback, it's a very strong share voice. This isn't over and above that. We intend to tag some of our national advertising. We're open for lunch is a very simple message that can be delivered. At the same time, we will have specific lunch copy that will run in place of some dinner copy. So we have a very healthy share of voice. We have a very healthy dinner business on Outback right now. And we have a lot of opportunity in lunch. So we feel very good about how that's all going to play out for us.
Operator: John Ivankoe with JPMorgan will have our next question.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: Two, if I may. The comp, and this is the second quarter in a row that it's happened, was very unusual, and that the Outback comp was 6.4%, traffic was 1.3%. So obviously, the math there is average ticket was up 510 basis points, which is -- it's almost unprecedented in terms of a year-on-year increase. And I ask this question, of course, considering that 61% of stores had lunch this year and 35% did last year. And if we didn't know any better, we would think that the traffic gain would actually be very high and the average ticket gain would be very low, just considering that the lunch ticket and lunch traffic is different than the dinner traffic. Can you -- and I think you kind of talked about more steak this year versus not last year, but can you try to like illuminate a little bit further that statistic if you kind of agree that it does look very unusual given you're kind of what you're doing with your business between lunch and dinner?
Elizabeth A. Smith: Yes. So we talked about, on the last calls, about how we were really happy with Outback's performance. But that it was very clear in the first half, we began to see some signs that we needed -- that we had pivoted too far in highlighting this broadened occasion affordable price point and moved away from steak. And we saw that in our mix, John. And it was very clear from the consumers that we needed to pivot back and reinforce our steak's authority. We are Outback Steakhouse. We'd gotten a little too broad in our messaging, okay, and that had driven pmix down. We need to double back, reassert our authority, Outback Steakhouse. We did that in terms of new advertising, new in-store material that celebrated steak, new cuts, a reminder that we have higher cuts, 2 cooking platforms, all of that. And we turned that on in earnest. And what you saw in Q3 and Q4 is that shift back to steak and steak-centric, which carries a higher price point, so we were absolutely expecting and very happy by what we saw. It carries a higher price point but we also, underneath the layers that you're not seeing, we saw dinner traffic because most big steak meals are bought at dinner. We saw dinner traffic perform and improve nicely. Now just as a reminder, if you look at NPD CREST, which is really the only way that we can pull out what the industry is doing for dinner and for lunch, dinner was down and lunch was up in Q4 for the 13 weeks ended November. And so actually our relative performance on dinner, we were quite pleased with. I think NPD CREST has dinner down 2% for the industry last year. So lunch is performing well, but when you look at the 6.4% and the 1.3%, the story there was a very intentional pivot back to our roots, which played out in a nice increase in pmix. And frankly, as you can imagine, all our brand equity measures have responded nicely along with that.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: Okay. And maybe -- and certainly, you have at least another 2 quarters where you can kind of continue that average ticket gain, but do you think you can continue to get above average ticket gains once some of those initiatives are lapped in the third quarter and fourth quarter of '15?
Elizabeth A. Smith: It's always a game of lapping. And so I'm going to go back to what our commitment is, which is continuous innovation. I think if you continue to ride one horse too long without planting other seeds to sprout, then -- our job is to continuous to innovate. So the pivot back to steak is not -- I'm going to say, reinforcing our steak authority is not a trend or is not the -- it is what we are and we're not going to walk away from that again. So I think that has legs continually. And as I look out in the pipeline, how we've really doubled down on steak exploration and innovation, I feel really good that, that's going to continue. At the same time, we're liking what we're seeing from the launch of $4 Finds. We are liking what we are seeing when we take lunch nationally. It continues to be a story of having multiple levers on Outback. We also, as you know, love what we see with the reloads and we're putting those out there as fast as possible. Outback is performing so well that we also have -- as we announced at Analyst Day, we think there's 50 more new unit opportunities for Outback over the next years. And so what I'd say is that I wouldn't focus on any one thing, other than to say that Outback has a fully loaded 360-degree experience pipeline under the LRP that it's going to keep this brand moving.
John W. Ivankoe - JP Morgan Chase & Co, Research Division: That's great. And I think this is just a really easy one. Could you help us with what the dollar G&A target is for 2015? I know in the last quarter there's kind of a lot of confusion of cuts and then investments and bonuses, and then you have to put currency kind of in there as well. So is there a way just to kind of give it, especially relative to the fourth quarter which is a little bit higher, can you kind of give us an easy number to focus on for 2015?
David J. Deno: Yes. John, we don't provide guidance in 2015, but like I mentioned before at Analyst Day, we talked about a 5% increase in 2015. G&A spend will be a touch lower than that because of the incentive stuff, but we anticipate that G&A will be up slightly in 2015, although we're not going to make specific guidance. And we will continue, by the way, to reinvest in our growth opportunities that we have in technology and international. One thing I want to mention, I didn't answer Joe Buckley's question about revenue completely. On the revenue side, the guidance for 2015, it's $9 million in FX translation in profit, and $59 million in revenue. So we have $140 million in revenue and $59 million from the Roy's and Korea change, and then $59 million in revenue. So I'm sorry if I didn't answer that completely, but that's what the guidance for revenue looks like for 2015.
Operator: And next we'll move on to Sharon Zackfia with William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: Dave, I think you actually confused me more with your clarification on the revenue, so maybe if you could repeat that. And then on Korea, since we're on the topic, you mentioned that it was a 70 basis point hit last year at the margin. Can you kind of just tell us what line items that hit in 2014?
David J. Deno: It was spread pretty much like any other P&L spread throughout the P&L. So if you just look at food cost component, the labor, et cetera, so that is what that would look like from a Korea margin standpoint. But if you look at -- so that's Korea, it's about 70 basis point hit. So if you look at revenue in Brazil from FX, it'll be about $59 million impact from Brazil. So if you take a look at $140 million from Roy's and Korea and about $59 million in Brazil. That's how the 2 numbers come together in our $4.49 billion guidance.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: And then on the cadence of Korea, I've tried to block Korea out of my memory. But the cadence, it felt like it was worse in the first half of '14 than the back half, or maybe it was just better handicapped in the back half of last year. So how do we think about that as you start to lap Korea?
David J. Deno: Yes. Q1, Q2 and into Q3 were tough quarters for us, it got a little bit better -- like it got better, not little, but it got better in Q4. So Q2 was our worst quarter, but Q1, Q2 and Q3 were the quarters that were negative for us in a pretty significant way.
Operator: And next we'll move on with Alton Stump with Longbow Research.
Alton K. Stump - Longbow Research LLC: I guess, just to follow-up on the mix benefit for Outback in the fourth quarter, obviously, which was huge. And touch, in detail, Liz, on what drove that, was there increased motions behind steak? Just with the success that had in the fourth quarter, could you talk about sort of what your program is for the next couple of quarters and how it's going to play in international advertising launch coming here in 2Q? If you would like to continue to promote your authority in the steak area or not.
Elizabeth A. Smith: Sure. So I'm going to go back and just reinforce, Alton, thanks for the question. That Outback is firing on all cylinders, and it is not just one thing here. So we did a great job over 4 years attacking what was the key problem in 2009, which is that we were only steak, right? We hadn't changed the menu in 20 years. We needed to broaden the occasion. And so we spent 4 years broadening the occasions; lighter, second best at seafood, not all did well. What we found though is that we had taken for granted that people knew that we had the #1 ranked steak, that we had 2 cooking platforms versus 1 and that, on balance, we had higher quality cuts of beef. It was time to pivot back and remind them that we're #1 in steak. But as I said in the script, we're also going to continue to couple that with innovations like $4 Finds. And so it's not going to be an either or, it's going to be continuing on the steak messaging, reminding them of what we're great at, while surprising and delighting them with occasion expansions around lunch, LTOs and then the new bar menu. So for example, we're on air right now when you look at us in Q1, our first LTO for the year, which started in mid-January, was celebrating our wood-fire grill platform and talking about the new steak innovation. If you go into the store, if you look in our advertising, you will see a celebration of all things steak that will resonate throughout the 360-degree experience. We will also, at the same time, be launching, as I said, lunch nationally with advertising in Q2. Lunch represents 29%, it's a $25 billion category, it represents 29% of CDR sales, and we think taking our superior brand into that and celebrating that is going to be a growth lever on top of that. And so I think the story with Outback is multiple occasion expansion opportunities, multiple opportunities to engage the consumer with reloads. The other thing that we have in our arsenal is, as Dave mentioned, we have 33 exterior remodels in test. We really like what we're seeing. I mean it's a big from to with the exterior, and so we'll be providing more detail when that task is complete. So I think the notion is, with all of our brands, which all had positive comps', continuing to elevate the 360-degree experience across them.
Alton K. Stump - Longbow Research LLC: That's helpful. And then just one quick follow-up, if I may. Obviously, as great as the quarter was on the comp for Outback, Fleming's was a bit lower than what I had modeled it. And I think it's one of the wider growth as your proof of that concept over those of couple of years. Any color on, if you have any plans to improve whether through traffic and/or pricing mix for that concept as well this year?
David J. Deno: Yes -- no, Fleming's continues to perform really well. As I mentioned earlier, we did take some decisions to reduce the amount of discounting and promotions in the quarter, which is very consistent with the brand. So I mean our traffic is still up by 1.6%, so it's very consistent with what we're -- where we're trying to take the brand. The brand continues to innovate very well. Liz talked of 8-9-10, and we're continuing with our innovation there. So we feel very good about Fleming's in Q4 and the strategy they're following and then going into 2015.
Operator: And next we move to Michael Gallo with CL King.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Just a follow-up on Carrabba's. Obviously, it was the first positive comp you had in that concept in some time. I was wondering whether you saw that as really just the improvement in the industry or some of the initiatives around menu and some of the other things you've been working on? I guess, do you feel like you're finally starting to get some traction there?
Elizabeth A. Smith: Yes. Thanks for the question. I always want-- need to go back and remind people that Carrabba's slow growth just started last year. And I think we've had -- so if you look at Carrabba's, last year, on an annual basis, we were down 1% on an annual basis, but which was pretty much in line with KNAPP, okay? But we also had, in Q4, when you talk about the comp, we had a point to comp, but we had a 1% traffic increase, which was 140 basis points better than KNAPP. So I always feel like, first, reminding people that Carrabba's is actually a very healthy brand. If you look at the brand metrics, #3 rated, we -- I don't know if you saw in Huffington Post last week, they repeated the Daily Mail who did a test of the top-rated, not just casual dining, but top-rated chain Italian including polished, Carrabba's was #1. So we're starting with a very healthy brand. But we do obviously look at KNAPP measures, right? And so we're pleased with the performance that we had in Q4. And as a reminder, for the total year on Carrabba's, we were down 1%, right? We're not happy with that, but that's down 1%. When you look at total Italian, total Italian was down 3%. Italian needs to reinvent itself in the U.S., away from just special occasion and indulgence towards lighter variety to drive more everyday dining. We started to do that in Q4. And so, yes, I think that traffic being up 1%, while comp sales were up on 0.3%, you saw us doing the opposite of what we needed to do on Outback, which was drive the more everyday occasion, the more everyday price point, which is why you see higher traffic than higher comp store sales performance. So absolutely, some of the menu in LTO work we did around lighter, more affordable price points, took hold and helped drive that performance. We continue to innovate around this. And the key with Carrabba's is not losing that #1 rating and alienating your heavy customer, while expanding the menu in occasions to bring in that lighter user that wants to dine a little differently every day. So it's that delicate balance and -- that we continue to kind of tweak and make sure we get exactly right because this is a really important brand for us that has very, very strong health measures. So saw some performance gains in Q4, more work to do in 2015, but we know the work that we have to do. And I'm not pleased with being the tallest kindergartner in Italian dining, but I also want to keep us in perspective when we say Carrabba's has been challenged.
Michael W. Gallo - CL King & Associates, Inc., Research Division: Okay. Great. And then just a follow-up on Bonefish. I was wondering any early read on the Bar Bites menu, whether that's driving a different customer? Whether that's helping drive more midweek business? Or just some thoughts about how you see the consumers using the new menu.
Elizabeth A. Smith: Yes. No, thanks for asking. It's only been 2 weeks, 2 or 3 weeks since we launched it. So the buzz is very positive, but -- and we like what we're seeing in social media and talking about it, but it's just definitely too early. It does do exactly what you said, which is we've got over a 25% liquor mix at Carrabba's. So it definitely appeals to that kind of younger, bar scene. And so we like what we're seeing. And I think the message on Bonefish is that we won't get behind again either at the bar, at the core menu or the LTOs. So it's very early, but we like what we see and we're not going to stop there, we're going to continue to add.
Operator: And next we'll move on to Andrew Strelzik with BMO Capital Markets.
Andrew Strelzik - BMO Capital Markets Canada: So I just want to make sure I'm understanding correctly, since you gave the guidance initially, industry comps have gotten better. And I understand you don't want to bake those in yet, but the industry comps have gotten better, the incentive comp headwind is going to be less and the tax rate is going to be lower as well. So is there anything that's actually worse than in December when you originally gave that guidance?
David J. Deno: So I think the biggest thing and we have to take a look at is just ForEx and what's going on in the external marketplace. That's something that we have to watch. We did, as to your point, we did have G&A ladders not quite as high to decline. The tax rate is pretty much as expected for next year. I think the biggest thing for us as we look at our guidance for the long term is the ForEx piece. That's about the only thing that's really changed so far.
Elizabeth A. Smith: Yes. And I think as we talked about it is we're 49 days into the year, and so our focus is on continuing to do the right thing by the brands and committed to our goal of annually outperforming. No matter where the KNAPP comes in, we believe we have the portfolio to outperform it by that goal of 200 basis points. So let's get past this weather-enabled Q4. We all remember how awful Q4 -- I mean Q1 of 2014 was, and so just coming out of the gate strong for KNAPP, I think had to be expected given the weather last year, right? So we're just cautiously optimistic. Let’s see how it plays out.
David J. Deno: And one last thing, that's why we provide our guidance in at least terms. We have at least 15% EPS growth and we'll see how -- it's a good point, let's see how the year goes through it.
Elizabeth A. Smith: Right. And so that 1.5% good point -- when we say at least 1.5%, that provides what in fact we think is a floor for what it could be.
Andrew Strelzik - BMO Capital Markets Canada: And if I could ask a second one. In terms of the productivity, historically, you've said $50 million was kind of the annual target and obviously, this year you did well above that. Do you feel like you're building momentum there where kind of the $50 million becomes a floor as well? Or how do you think about that with the evolution of the productivity?
David J. Deno: A couple of things. One, we're very pleased with our pipeline. We've rolled out A versus T in our business. Our people have been trained. You saw some of that benefit in food cost in Q4, which was important. Productivity like some of our other guidance is at least $50 million. If we have additional productivity beyond the $50 million, we'll do 1 of 3 things, either bring more to the bottom line, not price quite as much or reinvest in some really exciting growth initiatives. So we got good pipeline productivity, we're pursuing it and it gives us some flexibility as we go forward in 2015 and beyond.
Operator: And that will conclude the question-and-answer session. I would now like to turn the call back over to Liz Smith for any additional or closing remarks.
Elizabeth A. Smith: Thank you, and thanks to everyone for joining us. We look forward to updating you on the portfolio during our Q1 call in May. Take care.
Operator: And that will conclude today's call. We thank you for your participation.